Operator: Good day, ladies and gentlemen. And welcome to the Gladstone Commercial Corporation’s Fourth Quarter and Year ended December 31, 2014 Earnings Call and Webcast. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to David Gladstone. Please begin.
David Gladstone: All right. Thank you, Latoya. That was nice introduction and thanks all of you for calling in. We always enjoy this time we have on the phone. We wish there were more times to have these conversations. If you are ever in the Washington D.C. area, come by and visit us, we are located in suburb called McLean, Virginia and you have an open invitation to stop by and see us if you are here. You will see a great team at work. There are about 60 members of the team now, so we are no longer a small management company. We have some people that bring their dogs to work, I would say, if you have puppy or two. Now let’s hear from Michael LiCalsi, he is our General Counsel and Secretary, he also serves as President of our Administrator. Michael?
Michael LiCalsi: Good morning, everyone. The report that you are about to hear may include forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934, including statements with regard to the future performance of the company. These forward-looking statements involve certain risks and uncertainties that are based on our current plans, which we believe to be reasonable. There are many factors that may cause our actual results to be materially different from any future results expressed or implied by these forward-looking statements, including the factors listed under the caption Risk Factors of our Forms 10-K and 10-Q we filed with the SEC and they can be found on our website gladstonecommercial.com and on the SEC's website at www.sec.gov. The company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. And in report today, we also plan to talk about funds from operations, or FFO. FFO is a non-GAAP accounting term, defined as net income excluding the gains or losses from the sale of real estate and any impairment losses from property, plus depreciation and amortization of real estate assets. And the National Association of REITs, or NAREIT, has endorsed FFO as one of the non-accounting standards that we can use in discussion of REITs. Please see our Form 10-K, filed yesterday with the SEC, and our financial statements for a detailed description of FFO. We also plan to discuss core FFO today, which is generally FFO adjusted for property acquisition costs and gains on debt extinguishments. We believe this is a better indication of our operating results of our portfolio and allows comparability of period-over-period performance. And to stay up-to-date, you can signup on our website to get updates by e-mail on the latest news involving Gladstone Commercial and our other publicly-traded funds, you could follow us on Twitter, user name GladstoneComps; and on Facebook, keyword, The Gladstone Companies. You go to our general website to see more information www.gladstone.com. The presentation today is an overview and we ask you to read our press release issued yesterday and also review our Form 10-K, for the quarter ended December 31, 2014. You can find both of those on our website www.gladstonecommercial.com. And now we will begin the presentation today by hearing from our President, Bob Cutlip.
Bob Cutlip: Thanks, Michael. Good morning, everyone. During the fourth quarter, we acquired three properties, issuing new debt on two, and funded the other property with equity, raised $28.7 million of common equity under the ATM program with Cantor Fitzgerald, returned the Roseville, Minnesota property via a deed-in-lieu transaction to our lender, leased one of our vacant properties in Richmond to Xerox affiliate for three-year lease, completed the expansion of our one of our property and extended the lease with the existing tenant through 2034, extended two leases that were set to expire in 2015 and executed a lease for a tenant to occupy a third of our industrial property in Bolingbrook, Illinois. Subsequent to the end of the quarter, we also extended two of our leases that were set to expire in 2015 and one lease that were set to expire in 2016. So as you can see from the statistics our acquisitions, capital and asset management teams all contributed to our fourth quarter success. We had a very active quarter to close out 2014 as we continue to increase our asset base by acquiring new properties. So in 2014 we invested nearly $145 million at a weighted average cap rate of 9.0%. That performance included 10 acquisitions with each of our regions contributing accretive transactions and extension at one of our properties resulting in a lease extension and a straight loan for build-to-suite with a 15-year lease attached. These transactions include investments in the strong markets of Phoenix, Denver, Dallas, Indianapolis, Sacramento and Columbus, Ohio. So as indicated each of our regions were contributing throughout the year. This was our 13th consecutive quarter closing new acquisitions. We are extremely pleased with our activity and consistency over the last several months and we continue to have a strong pipeline of acquisitions and really expect to close more transactions prior to the end of the first quarter. Now for some details on our activities, during the quarter ended December 31st we acquired three additional properties. The first property is the 189,000 square foot industrial building located in Denver, Colorado, purchase price $10 million with an average cap rate of 8.6% over the life of the tenure lease. We funded this acquisition with cash on hand. The tenant in this property is premium pet health, a wholly-owned subsidiary of Smithfield Foods. The second acquisition was for two industrial both buildings totaling 535,000 square feet located in the Detroit, Michigan submarket. The purchase price was $30.8 million with an average cap rate of 8.2%. The properties are fully leased through August 2023 to a $1 billion plus manufacturing company that’s a wholly-owned subsidiary of Johnson Controls. We funded this acquisition with cash on hand and issuance of $18.5 million of mortgage debt. Shifting to our overall portfolio, as of today, all but two of our buildings continue to be fully occupied and all of the occupied buildings tenant continue to pay as agreed. We have one fully vacant property located in Houston, Texas, submarket and this is a 12,000 square foot medical office facility in close proximity to a hospital campus. We have two active prospects at this building and both prospects are for the entire building. One user wishes to acquire the property and the other wishes to lease the property. So we'll see how this unfolds over the next few months. Our other partially vacant property is located in Bolingbrook, Illinois, which is the southwest suburb of Chicago. The tenant in this property moved out in December and we executed a lease with a new tenant for 38% of the building which began in December. We have an active prospect for the balance of the building at this time as well. The deed-in-lieu transaction on our building located in Roseville, Minnesota was completed in the fourth quarter. This is the first property we’ve ever return to our lender. So on a positive note, this decision is going to favorably impact FFO on a going forward basis and therefore we really believe it’s going to benefit our shareholders. Turning to our tenants, we continue to improve the value of our existing portfolio property -- excuse me -- by reviewing and renegotiating existing leases and performing improvements at our property. We continue to work diligently on the remainder of our leases that come due in 2015 and have begun discussions with tenants having lease expirations in 2016. We originally had 12 leases expiring in 2015. At this time, we’ve successfully extended the leases for seven of these tenants who were in negotiations with an additional tenant to extend their lease and we’re negotiating to sell one of the properties to a subtenant. We’ve been notified however that three of the tenants will leave at the end of their lease term. And we’re currently aggressively pursuing new tenants for these properties and have leasing teams in place. The three leases, where we know the tenants are going to be vacating, really comprise less than 3% of our projected 2015 rental income, and half of this income does not expire until the end of December 2015. So the impact is much less. While we originally had 12 leases rolling in 2015, the next few years are much brighter from a lease expirations standpoint. We only have four leases expiring in 2016, four in 2017 and one in 2018. The expiring rents for these years represent less than 2% of our annualized rents for each respective year. So enter this year, our lease rollover slowed down quite a bit in our existing portfolio in what I would call our same-store rent are going to have stable in growing rental income. As you all know, locating new tenants and signing leases with existing tenants for the building does require some capital outlays for tenant improvements and leasing commissions. So in summary, at year-end, all of our existing tenants are paying as agreed and our portfolio was over 99% leased. We acquired three properties during the quarter, funded a mortgage loan and continue to have a very active pipeline. Our asset management team was also very busy, renewing tenants and leasing our properties. We've consistently increased our acquisition volume over the past three years and we currently have three properties, totaling $50.5 million in the due diligence stage of our acquisition process. Our current list of possible acquisitions also includes two properties totaling $37 million that are in the Letter of Intent stage and we have $244 million of acquisition prospects under initial review. As you may recall that our site, our objective is to have at least $250 million to $300 million in our pipeline of possible acquisitions, with properties in each phase including initial review, letters of intent, due diligence and of course, closing activity. Our team continues to exceed this objective and has prospects in each phase of the acquisition process today which we hope then will lead to continuing and consistent closings in the months ahead. Now I’d like to turn to our Chief Financial Officer, Danielle Jones, who’ll report on the financial results.
Danielle Jones: Good morning. We continued our goal of consistently growing our asset and equity base in 2014. Our total assets increased to $788 million this year which was a 40% increase in total asset last year. We are also focused on decreasing our leverage and then issuing new equity under our ATM program with Cantor Fitzgerald to help achieve this goal. We expect to continue this growth throughout 2015. The amounts outstanding under long-term mortgages and was $503 million at the end of the year and is representative of funding both of our new acquisitions in the fourth quarter. In addition, till today we have raised over $45 million in common equity under our ATM program with Cantor which began in September of 2014 and have used these funds to acquire properties and to reduce the outstanding balance under our line of credit. Reviewing our upcoming long-term debt maturity, we have mortgage debt in the aggregate principal amount of $42.4 million payable during the remainder of this year and $99 million payable during 2016. The 2015 principal amount payable includes $34.6 million of principal payments due on three mortgages that mature in the second half of this year. And we do anticipate being able to refinance these mortgages with combination of new mortgage debt and equity. We’ve already begun discussions with lenders on these upcoming maturities and we expect to refinance them during this summer. The 2016 principal amount payable include $92 million of balloon principal payment due on nine mortgages that mature throughout the year and we also anticipate being able to refinance these mortgages as a combination of new mortgage debt and equity. We’ve also begun discussions with lenders on the debt that matures during the first quarter of 2015. We intend to decrease the leverage on these refinancings in order to continue our strategy of reducing our overall leverage. We do intend to pay the additional debt amortization payments from operating cash flow and borrowings under the line of credit. Debt financing does continue to be available from multiple sources. At the end of 2014, interest rates were approximately 80 basis points lower than they were at beginning of the year. They have moved up slightly since the beginning of the year over the past month, but they're still significantly lower than they were at the beginning of 2014. And upward pressure on interest rate is associated with the ending of the Federal Reserve quantitative easing program has been offset by the Federal Reserve guidance that will continue to work to keep interest rates low, weakness in the European and Chinese economies and international tensions. Lenders are competing with one another to meet their production goals, which is resulting in tightening interest rate spreads to more flexible terms. Interest rates continue to remain historically low and we are actively trying to match our acquisitions of cost effective mortgages. Depending on several factors, including the tenant credit rating, property type and location, terms in the lease, leverage, and the term of the loan, we are generally seeing fixed interest rates ranging anywhere from 4% to about 4.6%. To this end, we did issue new debt during the fourth quarter of $18.5 million on one of our new acquisition at an interest rate of 4%. The low end of the range in the deal is a cap rate of 8.2%, so it was very accretive for our shareholders. As we mentioned, we are continuing our strategy of lowering our overall leverage by reducing our weighted average loan to value on newly issued or assumed debt and are also issuing additional common equity. We’ve raised over $45 million in net proceeds under the ATM program over the past several months and issued over 2.6 million of new shares of common stock. We’ve also decreased loan to value on new debt from 68% in 2012 to 60% in 2014. Turning to our line of credit, we currently have $24.3 million outstanding underlying at a weighted average interest rate of 3%. We continue to only use our line of credit to make acquisitions that we believe can be financed with longer-term mortgage debt or that we believe are good additions to our unsecured property pool required under our new line of credit. We continue to finance the majority of our properties with long-term fixed rate mortgages allowing us to secure the spread between the rent coming in and the mortgage payments going out, which allows us to lock in the profit for the length of the lease. Currently we have enough availability to fund our current operations, deals in our pipeline and any known upcoming improvements at our properties. As of today, our available liquidity is approximately $32 million, comprised of $4 million in cash and an available borrowing capacity of $28 million under our line of credit. In addition, we have the ability to raise equity through the sale of securities that are registered under our shelf registration statement. And now we will discuss the operating results. In our press release filed yesterday, we reported a core FFO number. We believe core FFO, which adjusts for our property acquisition expenses and gains on debt extinguishments, allowed our investors to better compare period-over-period results as the property acquisition expenses can be very lumpy quarter-over-quarter. All per share numbers I referenced are fully diluted weighted average common shares. Core FFO available to common stockholders for the quarter was approximately $7.7 million or $0.39 per share, which is about an 8% increase when compared to the third quarter and was approximately $27.5 million or $1.55 per share for the year. Quarterly core FFO per share increased because of the additional revenue we achieved from new acquisitions made during the quarter, coupled with lower property operating expenses at certain of our vacant properties and a lower net base management fee. We received the credits for our base management fee during the quarter from a fee paid by one of our tenants to our advisor. This was partially offset by an increase in G&A expenses related to the adjustment of a deferred rent balance to one of our tenants, where the lease was recently modified and an increase in the cost of additional shares issued during the quarter. We do not earn an incentive fee this quarter because of the recognition of the loss and the turn of the roads for Minnesota property to a lender in a deed in lieu transaction. While 2015 brings with it challenges as we work on those lease renewals and debt maturities, we believe we have the right team and plan in place to reposition and continue our growth activities. We are confident that 2015 will be successful as we continue to increase our asset and equity base and decrease our leverage. We are focused on managing our property operating expenses. And now, I will turn the program back over to David.
David Gladstone: All right. That’s a good report, Danielle and a good one from Bob Cutlip and also from Michael LiCalsi. We encourage all our listeners to read the press release and the annual reports filed yesterday with the SEC. It’s called Form 10-K, and there are lot of good material on those documents. You can find them on our website, www.GladstoneCommercial.com and also on the SEC website. The main news again we purchased two properties for about $41 million and placed mortgages on those properties of $18.5 million, extended to leases that were originally scheduled to expire in 2015. We finally leased that 42,000 square foot building down in Richmond, seemed like it took forever, but got that one in with the good tenant. And we are now 99. At December 31st we’re 99% occupied over the entire portfolio that may go down if we don’t find some tenants for the two or three that we have leaving our buildings this year. And then we raised close to $30 million in common equity under the ATM program, which has been working for us very well. We have continued to add quality real estate to our portfolio, shoring up existing investments and grew the asset base. We continue to grow all of our market capitalization increase and we hope to see higher trading volumes in our stock and corresponding uptick in the stock price because the distribution rate is very high for real estate investment trust. As many of you know, this company didn’t kind of monthly cash distribution during the recession, that was quite a success story what some of the good companies cut their distributions. Just want to do this one more time. As an example, this company first ex-dividend in 2008 was $1.36 per share. The distribution is now $0.60, so it’s a 56% decrease. Blank Realty dividend in 2008 was $1.17 per share, distribution is now $0.68 per share, so it’s still down by 42%. And Blank Property Trust distribution in 2008 was $1.25, distribution now is $0.20 per share and 84% decrease. And First Real Estate distribution was in $2.88, now $0.41 a share and 86% decrease. Corporate Property was another one that we looked at distributions in 2008 at $1.43, distribution is now $1.10, so not too much of a decrease, 23%, they may be back soon. Of course, our company had a distribution rate in 2008 of $1.50 and we are still at $1.50. So that tells you something about our strategy, which is to have a very strong asset base. Now these REITs that I mentioned having their distributions from hitting their low point but none have returned to their original level, and I am saying that none of the analysts have gone on and accept some of these that are comparable to us and put that story in their write-ups. I know all of you want us to increase the distributions and I do too them, like shareholder, but please give us some credit for being very steady cash payers and taking care of our shareholders. And track record is not cutting the distribution should stack up extremely well against others to have cut theirs and didn’t build back to prior levels during the last six years. Here is what we do in today. We need to increase the common market capitalization in order to increase the volume to give investors who want to buy a lot of stock at one time. So the big buyers always want to know that if they buy a number of shares outstanding, if they say buy $20 million worth of stock that there will be liquidity when they want to sell. We are still not big enough for those shareholders and we don’t have enough shares outstanding to give them that confidence. However, as we consistently build the assets and the equity base almost doubling in size in the past two years, where this growth will see larger buyers coming to the stock and that should increase the price and lower our cost of capital so that new investments will be much more accretive to our dividend payout. We have the program in place, we are executing it. And I think by the end of this year, we will be in great shape. We continue to have a promising list of potential quality properties. The team has really continued to do that very well and because of this list of properties, we hope to be able to grow the asset base in the portfolio more during 2015. With the increase in the portfolio of properties comes greater diversification for all shareholders, we believe that will also strengthen and solidify earnings. We are focusing our efforts to fund good properties and long-term financing, perhaps the long-term leases that we like and being able to lock in long-term financing will be good for the future. We are much more optimistic that things are going to be positive for this year 2015, so have a good outlook there. Much of the industrial base that rents industrial and commercial properties like the ones that we own remain steady, most of them are paying their rents. So, we see a good strength out there in the marketplace now. There is still some businesses like always that are having problems in the economy and is still not in great shape. However, we expect good growth during 2015 for this REIT. I'm optimistic that the company will find in the future. Bob Cutlip, his team and I will continue to be cautious in acquisitions as we've done in past years. We made it through last recession without cutting the dividend and having a lot of problems with tenant and they will go another one, we all know there will be another one someday. If there is recession lurking on our horizon, I think this portfolio will continue to stand the test against anything that they can throw at us. And if the Fed decided to raise interest rates, well, we're ready for that. Most of our companies are financed with long-term fixed-rate mortgage debt. So there shouldn’t be a lot of impact to our properties into our cash flow. Now, we were successful in implementing a new ATM program to raise the small amount of common stock, not dilute our shareholders too much and it makes it possible for us to put that new equity to work quickly rather than raising a huge amount of equity one-time and then having a longer time to get it to work. In January 2015, the Board voted to maintain the monthly distribution of $0.125 per common share in January, February and March, with annual rate of a $1.53 a year. This is a very attractive rate on this well-managed REIT. We now paid 125 consecutive common stock cash distribution since the inception and we went through a recent recession without having any problems in doing that. I just think that's wonderful. Because the real estate can be depreciated, we are able to shelter the income of the company in addition because of loss recognized in 2014 related to the property we returned in deed-in-lieu transaction. The common distribution in all of 2014 was 100% return of capital. We don't expect that to be the case again in 2015. We think it will return to normal spend somewhere around 80%. This is a very tax-friendly stock. In my opinion, it's the best one for your personal account and that you're receiving cash and not having to pay tax on a current basis. This return of capital is due to the depreciation of real estate assets and some other items and causes earnings to remain low after depreciation. And that's why we talk about FFO, because that’s adding back the real estate depreciation. As we all know, depreciation of a building is a bit of a fiction anyway because after the depreciation theory, the building is still standing even though you depreciated it substantially. If you own the stock in a non-retirement account as opposed to an IRA or retirement plan, you don't pay any taxes on that part, sheltered by the depreciation as that is considered a return of capital. However, return of capital does reduce the cost basis of the stock, which may result in a large capital gain tax when you sell the stock. With the stock price at about $17.40, yesterday the distribution yield on the stock is 8.6%. Many REITs are trading at much lower yields and that’s why I always bring this up every time. The REIT universe is trading at about 3.7% yield. If we ever get to that yield that means our stock will be trading at about $41 and the triple net lease REITs that are very somewhat to us are trading at 4.7% yield. So if our stock trades at that yield then the price per share would be about $31 a share. So you see there's a lot of room for expansion in the stock-based on the real estate stocks, REIT stocks that are out there today. And some of you analysts out there will say, oh yes, but you are externally managed and you are somewhat more leveraged than other REITs. But just once I would like that you see you say, this REIT has a great team. To use this analogy, the team puts the puck in the net every year, year in and year out. And even when the team is hit with a terrible body check like the recession, they still keep putting the puck in the net. Sorry, I got a little testy on this to use that puck analogy. But this team really is great and should be recognized for that. I know one more thing. There are among the REIT buyers are biased against externally managed REITs like ours as opposed to internally managed REITs like most of the very large REITs. Most people agree that it’s better to be externally managed when the REIT is small because the REIT can share the cost of compliance for all of these regulations, the IRS, the SEC and other regulatory bodies and for me, this is the best way to run. The question is what size do you have to be before you change? So, small REIT that’s externally managed can have an excellent coverage of compliance and accounting and more management power. This is how the mutual fund has managed so many mutual funds over the year. So the job of the Board of Directors is determined if the external fee is too high. Our Board goes through that and we do in depth study for the Board. We make a determination of the fee. We reach one -- when we reach $1 billion in asset that would be the time when have to really look at changing the fee schedule at that point in time. There is great confusion about the cost to run a REIT. Some internally managed REITs have low G&A cost because they farm out or don’t put in G&A. You never really know what's in that line item. They don't show you that or some of the expense items. A REIT like ours has a lot of expenses covered by the people and the management company and not farmed out to outside groups. So it’s hard to pull these figures out for our Board each year but that's what we do. We’ve told the Board, when we reach $1 billion in assets, we will be looking to see if we can reduce the management fee to be more like the internally managed REITs. And one more thing, our management fee is calculated on the equity of the company at the depreciated cost, not original cost and it's not the assets of the REIT as is common in many closing mutual fund. So, when we borrow money to buy building, it’s not increasing the management fee. And when we sell preferred stock and use that money to buy building, doesn't really raise the management fee. It's only when we sell common stock that the management fee goes up. And since we use a fair amount of mortgage borrowing and preferred stock in this company, the fee is relatively low compared with externally managed REITs. We’ve compared it to some nine or so other REITs and we are the lowest in terms of our overall fee to other externally managed. The analysis of internally management fees every July is one that we go through. It’s a little bit more difficult. We are about little over $200 million in book equity. We’re charging 2% of that. So as a result, as we look at these things, we try to figure it out. So, the Board asks us, since the management company is making this money, is it making too much money? And the answer is easy since the management company does not make any money that is we run this really over the last 10 years at zero. So that's not the answer. So then of course, the Board would ask, are we paying our people too much? So, we go through that comparison of our compensation of persons as compared with the industry. National Association of Real Estate Investment Trusts publishes a very large number of categories of employees and what we find is that we are paying out people what the industry pays. In some cases, it might be a little high and others a little low but combined, it seemed to be just fine within the industry guidelines. So, then we say, are we paying more than other externally managed REITs and we look at the half dozen or so externally managed REITs and we see that we are actually the lowest of all the externally managed REITs. Some REITs claim to be charging only 1.5% fee, but when you look at all the other fees that they’re charging you find that our fees and percentage is the lowest of the group. And then we begin our analysis to say, how could we compare ourselves with the internally managed REITs and this is most difficult because the reports that we get from the other REIT, don’t include the various -- or don't have details of the various summary line items of expenses. So you kind of guessing where things are and trying to unbundled those costs. And here is what we do, the triple net REIT our -- we look at triple net REIT our size range and they are only a few, so we're looking at the smaller real estate investment chart. And we also need to look at REITs that do what we do and that’s very difficult and there are a lot of triple net REITs that buy building that have tenants that are rated by national rating services like Standard & Poor's and that makes it easier for them to buy those large rated tenants and their many building. We have some of those. We don't have many. We have some A rated, some BB rated by our rating agencies, but we have tenants that are not rated. This is very different from most of the real estate investment trust that are out there. And what this means is that we have to underwrite those tenants just the way we have other funds that underwrite borrowers, so we underwrite those tenants as if they were borrowing money from us and determine the probability of default. This is a big expense. It also gets us a larger income. This underwriting cost takes more time and it takes more time to find acceptable tenant and someone buying only rated tenants can do a pretty quick analysis of their tenant and go forward. So we use up much more time and energy of our people and this is really an extra expense that we have to deploy. We need to look at the length of the lease too. Some of the buyers out there are buying buildings, which have leases that are very short. We rarely do that. We look for long-term leases those leases that are in high demand. So we have to compete with many others who want those long-term leases and that’s why we move more towards those that are not rated tenant, there we have a better chance of getting a higher return. So we come to the conclusion that what we are doing to build our REIT is expensive, but while being expensive is far more secure we are 99% leased up, we don’t lose a lot of tenant, when the recession occurs, we have less problems, there are many that do not like our method of operation, this is very slow, methodical and expensive. And since it’s slow, they don’t want buy our stock, because we are not growing as faster as others. They want quick growth and if there is more risk in the portfolio, so be it. This is just not what we do and so if you are expecting us to go out and do that, we just not going to do that. We are building a long-term oriented REIT that can withstand the recession. This means our people have to work longer to achieve the same growth as other REITs and evidently this cost us more than some internally managed REITs. We charge less than externally managed REITs, but some say we charge than internally managed REITs. And let me just make one point, if we were internally managed today, with the same number of people and the same strategy of long-term secure investing than the cost would be the same today, if we were internally managed or externally managed, you are not more efficient if you are internally managed the way we are running our company today is just above this argument. And so, what you are looking at here as a higher cost REIT based on the strategy we have of making sure that we make all of our payments to our shareholders. It is true that this REIT is internally managed when -- I mean, externally managed and when you buy an internally managed you get the management company and the REIT. And so we’ve been told that if we took the management company public than people who wanted to own both could do that. So we are looking into the possibility of doing an offering for the management company. I just don’t know how we are going to do it but we should have that study done by sometime this summer. Again we thank you all for tuning in and excuse me for going off the deep end and talking about all of these items that I think is necessary. And will the operator please come on now, so our listeners and others can ask questions?
Operator: Thank you. [Operator Instructions] We have a question from John Roberts of Hilliard Lyons. Your line is open.
John Roberts: Hey David.
David Gladstone: Hello John.
John Roberts: How are you doing?
David Gladstone: I am good today. How are you?
John Roberts: Freezing to death out here in the south, but was to be 10 below tonight. So shattering all kinds of records, David, and I am sure it’s coming your way after it leaves us.
David Gladstone: Yeah. It was 11 this morning when I got up.
John Roberts: I don’t know if this question is for you, Bob, or Danielle, but usually I try to get a pre-conference call report out in the evening that you guys announced, I was unable to though because you did not provide the line item information. You provided sort of lumped information on cost and revenue. So I couldn’t do my usual quarterly number charts and discuss the individual.
David Gladstone: That wasn’t in the K.
John Roberts: While if David was in the K, but you don’t have quarterly numbers. You just got the aggregate numbers for the full year.
David Gladstone: Okay.
John Roberts: And I tried to back it up by subtracting the previous three quarters, but you must have restated previous quarters for some of the properties you sold because nothing came out as it should and I don’t want to put…
David Gladstone: We didn’t restate so…
Danielle Jones: John, I aggregated it together on the press release, but I can post something to the website after this call that has the detail breakout for quarterly, December 31st versus September 30th. So that would be helpful.
John Roberts: That would be super. I mean, I just like to see what the Q numbers are.
Danielle Jones: Okay. I’ll post it to the website.
John Roberts: Super. And if you could send me, maybe if you can email that to me, Danielle?
Danielle Jones: Sure.
John Roberts: I’d appreciate it. And then David, I think you guys explained all the courses I had and from our previous discussion that I think what you guys are doing is probably appropriate given the size of the company. As I talked to you when I -- when I was there about the external versus internal and you stated that real well that small REIT really being externally managed can actually be saved as savior so to speak, some of the internally small managed REITs if you had a business because they couldn't survive so.
David Gladstone: Exactly. So that’s a good plus for us. And I think we’ll be at the billion dollar mark by July of 2016.And so as a result, we will have a very deep detail discussion and my guess is by then we should be able to cut the management fee. It’s not a guarantee; a lot of the external managers call themselves as charging only at 1.5%. But as you look at all the other expenses, they flow through it adds up and we've done that now fourth time as they externally managed in and we are far and away ahead of all of it in terms of low cost.
John Roberts: Right. Hey on the vacant property in Texas, the medical office building, you mentioned that you got somebody who maybe wants to buy it, and somebody wants to lease it, are you expecting -- which way -- A, which way are you expecting to go and B, would there be a loss on the sale or you expect the gain on the sale?
Bob Cutlip: We expect it, John. It’s Bob. We expect it. We probably got the lease but we are kind of leaving options open. And know it would -- the numbers that we kept in promoting to the buyer is definitely the game.
John Roberts: Yeah.
Bob Cutlip: That location next to the hospital campus is good. Our challenge has been that the hospital ahead built some facilities. And so they had brought in-house a number of activities that they’ve had in third-party locations. And so we just had to be patient but now the activity has picked up and we would like to be long-term holders, probably prefer to get a nice 7 to 10-year lease with a group. But we are going to leave our options open right now and see how it pans out over the next two or three months.
John Roberts: Right. Well, obviously I follow a lot of healthcare REITs. So if you want any introduction as there is some potential buyers, let me know, Bob.
Bob Cutlip: Okay. Thank you very much. I will definitely call you, John.
John Roberts: All right. You’re welcome. As far as the ATM program, that was a big junk of equity you issued in Q4. Are you expecting that same number going forward?
David Gladstone: Well, we slow it down sometimes when we don’t have the funnel build up and already to close. So the idea is you turn it on and off like a ticket. And when you need some money to do the next transaction, you turn it on and also very sensitive to the price of the stock. We really don’t like to issue the stock at low prices, so you’ve got to be careful. I think if we didn’t do the ATM program, the stock price actually will probably go up a little bit. But we just got to build our equity base, we’re about $270 million in equity and the market cap is still relatively low compared to so many other REITs. So we just got to build our sales up so that we can attract more shareholders.
John Roberts: Yeah. Understand, David. Okay. Thanks. You answered my all questions, most of my questions on the call already, David. Thank you very much.
David Gladstone: Okay. Next question please.
Operator: Yes. The next question is from Robert Stevenson of Janney. Your line is open.
Robert Stevenson: Good morning, guys. Can you talk about what your target leverage level is and the time frame for getting there?
David Gladstone: Well, we are about 60% now in terms of leverage. So I don't know Bob what you issued for now. I keep telling them don't delever too much. It’s helping us pay the dividend and the stock price. So I don’t know what you want to tell us.
Bob Cutlip: Let me tell you what our plan is for this year. We of course I think as Danielle indicated, we’ve gone from 68% to 60% in 2014. The targets for our team this year is between 55% and 58% on the deals that they pursue and of course every deal is unique and we want to make sure that we’re accretive. And because of our cost of capital is still higher than we wanted to be, we will look at every deal individually. And David and I will then make that decision with Danielle. But that’s kind of what we are looking at. Danielle, do you want to add something?
Danielle Jones: Yeah. One other thing, as I mentioned, we had about $35 million of debt refinancing this year and $92 million next year and that was put on it much higher leverage in 2005 and 2006. So we’ll get some more leverage just refinancing that by the nature of it. So it’s new deal, plus the refinancing, but we will keep it down this year.
David Gladstone: Yeah. Good point.
Robert Stevenson: Okay. And then how are you viewing preferred stock these, the expensive debt or quasi equity to help out?
David Gladstone: Well, if we could get permanent, we’ll call it equity, but everything now is some kind of due date in the future, so we look at that as debt. So if we have to pay it back, even though it’s a security and it has less complications when they come due, then that would -- we still look at it is as debt, because it does come due and we always want to meet our obligations. So for us, it’s debt. And I like it for time to time, it is good substitute for a long-term debt. And I don’t know where analysts look at it, but some people saying we’ve got too much preferred stock. And I am just glad I don’t have to run my company by all the comp -- all the people that tell me how to run it. So we're just going to keep doing on same old thing that I've been doing for 25 or so years.
Robert Stevenson: Okay. And then last question, do you guys have a drip in place?
David Gladstone: We do have a drip. It’s not used much because most of the brokerage houses won’t pull down the shares from the drip. They actually go into the market and buy. So if you have a drip with say one of the big brokerage houses, all they will do is pull it down from the market rather than pull it down from ours. We are ready to issue new shares under the drip. We just haven’t had.
Bob Cutlip: We have no demand.
David Gladstone: Okay. We have no demand for our drip.
Robert Stevenson: All right. Thanks, guys.
David Gladstone: You’re welcome.
Operator: [Operator Instructions] There is no one else in queue at this time. I’ll turn the call back over to David for closing remarks.
David Gladstone: All right. Well, thank you all for calling in. We’re hopeful that a few more analysts would have given us a few more questions. But if you have more questions, let us know. We’ll do our best to answer them on our website. That’s the end of this. Thank you.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. You may now disconnect. Good day.